Operator: Good morning. My name is David, and I will be your conference operator today. At this time, I would like to welcome everyone to Trinity Capital's Fourth Quarter and Full Year 2024 Earnings Conference Call. All participants have been placed in a listen-only mode, and the floor will be open for questions following the presentation. It is now my pleasure to turn the call over to Ben Malcolmson, Head of Investor Relations for Trinity Capital.
Ben Malcolmson: Thank you, and welcome to Trinity Capital's earnings conference call for the full year and fourth quarter of 2024. Today, our speakers are Kyle Brown, Chief Executive Officer, Michael Testa, Chief Financial Officer, and Gerry Harder, Chief Operating Officer. Also joining us for the Q&A portion of the call is Ron Kundich, Chief Credit Officer. Trinity's financial results were released earlier today and can be accessed on our Investor Relations website at ir.trinitycap.com. Before we begin, I would like to remind everyone that certain statements made during this call may be deemed forward-looking statements under federal securities laws. Because forward-looking statements involve known and unknown risks and uncertainties, we encourage you to refer to our most recent SEC filings for information on certain risk factors. Trinity Capital assumes no obligation or responsibility to update any forward statements. Now please allow me to turn the call over to Trinity Capital's CEO, Kyle Brown.
Kyle Brown: Thank you, Ben, and thanks everyone for joining us today. 2024 was an excellent year for Trinity Capital as our strategies continue to perform well and we achieved record results. Major milestones from 2024 include $116 million of net investment income or $2.20 per share, a record $1.2 billion of fundings, the launch of our sponsor finance and asset-backed lending verticals, giving us five complementary yet diverse business verticals, the expansion of Trinity's lending platform into Europe with the establishment of a London-based team, and the official launch of our RIA's first co-investment vehicle, which further capitalizes the business and provides incremental income to our BDC shareholders. We finished the year with an especially strong fourth quarter. Here are some highlights from Q4. We delivered a net investment income of $35 million, a 38% increase versus Q4 of last year. Net asset value grew to $823 million, up 9% from $757 million in the prior quarter. Platform AUM reached a record by exceeding $2 billion. Trinity paid a fourth-quarter cash dividend of $0.51 per share, representing our twentieth consecutive quarter of a consistent and growing dividend. During the fourth quarter, our five business verticals continued to perform well, fueling growth and profitability. As a reminder, we have grown into a direct lending platform comprised of five business verticals: tech lending, equipment financing, life sciences, asset-backed lending, and sponsor finance focused on private equity-backed businesses. These verticals each have their own experienced team that leads the originations, credit, and portfolio management functions, which gives them the ability to scale efficiently. Our investments in these strategic growth initiatives have generated extraordinary momentum, highlighting our commitment to expanding the platform and broadening our investment opportunities. Trinity Capital's first alternative asset management company, in addition to a direct lender, seeks efficiencies by scaling our business, our balance sheet at the public company level, and we are building out our asset management business to invest alongside the BDC across our business verticals. What makes us different from externally managed BDCs is that when you buy Trinity stock, you are buying into a pool of diversified assets across our various verticals and buying into a management company with the opportunity to also manage third-party capital. Additionally, as an internally managed BDC, our employees, management, and board all own the same shares as our investors. This structure creates 100% alignment with our shareholders as we strive to deliver growing returns for our investors. Turning to deployment, we maintained a strong investment pipeline, including $693 million of unfunded commitments, leaving us well-positioned for continued growth. As a reminder, the vast majority of these unfunded commitments are subject to ongoing diligence. Approval by our investment committee, credit underwriting, and portfolio management ultimately determine our success. We have a unique structure of collaboration among our originations, credit, and portfolio teams to manage our inbound opportunities and active portfolio companies. We are very selective and follow a rigorous diligence process where only a small percentage of our deals reach the underwriting stage. This methodical approach mitigates risk and positions us to excel in all macroeconomic cycles. Underpinning our process are three core principles that are fundamental to our culture: exhibiting uncommon care for employees, customers, and stakeholders, serving our clients by being partners rather than just money, and providing outsized returns for our shareholders. Continuous investment in building our teams and improving our systems is key to our growth and enabling us to further diversify our investments to create a best-in-class direct lending platform. As we look ahead to 2025 and beyond, we are excited about the future and look forward to continuing to capitalize on our momentum as we grow and maximize value for our shareholders. With that, I will turn the call over to Michael Testa, our CFO, to discuss financial results in more detail. Michael?
Michael Testa: Thank you, Kyle. In the fourth quarter, we achieved record total investment income of $71 million, a 48% increase over the same period in 2023. Our effective yield on the portfolio for Q4 was once again an industry-leading 16.4%, and our core yield, which excludes fee income, remains strong at 14.7% despite industry-wide yield compression. Net investment income for the fourth quarter was $35 million or $0.58 per basic share compared to $25 million or $0.57 per basic share in the same period of the prior year. This quarter's earnings experienced the benefit of increased fee income from higher early portfolio payoffs and fundings within our equipment financing vertical. Our net investment income per share represents 114% coverage of our quarterly distribution. Our estimated undistributed taxable income is approximately $67 million or $1.08 per share. We continue to reinvest this capital for the benefit of our investors while maintaining a consistent and meaningful distribution. Our platform continues to generate strong returns for our BDC shareholders, with ROE of 17.4% based on net investment income over average equity and ROAA of 7.6% based on net investment income over average total assets. As of December 31, 2024, our NAV was $823 million, up from $757 million as of September 30, 2024. Our corresponding NAV per share was $13.35 at the end of Q4, an increase from $13.13 as of September 30, 2024. The increase in net assets per share was primarily due to the portfolio activity, accretive ATM offerings, and net investment income exceeding the declared dividend. During the fourth quarter, we realized net gains of approximately $9.3 million, primarily from the sale of two equity and warrant positions. As a reminder, we receive warrants on a majority of our loans, especially in the tech lending and life science verticals. During the quarter, we strengthened our balance sheet and enhanced our liquidity by raising $50 million of gross proceeds from the ATM program, further upsizing our credit facility to $600 million in total commitments across a diversified syndicate of thirteen banks, and closing a $142.5 million private placement debt offering. We also continue to realize the benefits of our co-investment in our joint venture and our new vehicle under the RIA subsidiary. In Q4, it provided approximately $1.9 million or $0.03 per share of incremental net investment income to the BDC. During Q4, we syndicated $77 million to these vehicles. As of December 31, 2024, we had more than $302 million of assets under management in these private vehicles, providing incremental capital for growth and accretive returns to our shareholders. Our net leverage ratio, which represents principal debt outstanding with cash on hand, was 1.08 times as of December 31, 2024. Our strong liquidity position with diverse capital sources, both from capital raised by the BDC through our wholly-owned RIA subsidiary, provides Trinity with the flexibility to manage a strong pipeline and be opportunistic in the marketplace. Subsequent to the quarter-end, we launched a debt ATM program, which provides further capital-raising flexibility. As of this date, we have not issued any additional debt under this program. Additionally, we retired all of the debt outstanding under our 2025 notes, approximately $153 million, and the holder of our convertible notes elected to exercise their conversion rate on the $50 million of convertible notes. At our option, we elected to use cash to retire the convertible note and avoid further dilution impact of issuing shares of our common stock. These debt obligations were fully liquidated with available proceeds received from early debt repayments, equity gains, and the use of our credit facility. As a result of these subsequent debt extinguishments, we have no further debt obligations due until August 2026. We estimate the Q1 NAV impact from the repayment of the convertible debt will be approximately $0.27 per share based on the current outstanding shares. While there is an impact to NAV in the first quarter, the early extinguishment of these debt obligations, which were issued prior to our IPO, reflects the strong performance of the Trinity platform and will be a long-term benefit to Trinity shareholders. I will now turn the call over to our COO, Gerry Harder, to discuss our portfolio performance and platform in more detail. Gerry?
Gerry Harder: Thank you, Michael. Since our last earnings call, Trinity has continued to focus on executing our strategies across our five business verticals, which strengthen and diversify our platform while enhancing our ability to offer customized financing solutions to our evolving client base of growth-oriented companies. We remain dedicated to supporting companies at every stage of their growth cycle. At the end of the fourth quarter, on a cost basis, our total portfolio consisted of approximately 75% secured loans, 18% equipment financings, 5% equity, and 2% warrants. The composition of our portfolio remained consistent with prior quarters, with diversification across investment type, transaction size, industry, and geography. Our portfolio is segmented across 21 industry categories, with our largest industry exposure, finance and insurance, representing 18.1% of the portfolio at cost. This exposure is spread across 15 borrowers and includes both term loans and asset-backed warehouse facilities. Our next largest industry concentrations are medical devices and green technology, representing 9.7% and 8.3% of the portfolio at cost, respectively. In aggregate, life sciences-related industries collectively made up 25.5% of our total portfolio on a cost basis. Among our five business verticals, the approximate breakdown of our fundings in Q4 went as follows: 33% to equipment financing, 28% to sponsor finance, 27% to tech lending, 7% to life sciences, and 3% to asset-backed lending. As of the end of Q4, our largest portfolio company debt represents 3.1% of our debt portfolio and 2.9% of our total portfolio on a cost basis. Our ten largest debt investments collectively represent 23.3% of our total portfolio on a cost basis. Now turning our focus to credit. The credit quality of our portfolio improved quarter over quarter, with approximately 99.2% of our portfolio performing on a fair value basis. Our average internal credit rating for the fourth quarter stood at 2.9, based on our one to five rating system, with five indicating very strong performance. This rating is consistent with the average credit rating in each of the last two quarters and is attributable to a combination of credit upgrades to existing portfolio companies as well as strong originations of new credits within the fourth quarter. As a percentage of the debt portfolio on a cost basis, credits within the lowest two tiers remained virtually unchanged from Q3. Quarter over quarter, the number of portfolio companies on nonaccrual remained at five, while our nonaccrual credits decreased on both a cost and fair value basis. One portfolio company, SunBasket, was removed from nonaccrual and was fully realized in Q4, with a very slight decrease relative to our Q3 fair value. One additional credit from our tech lending portfolio, with a cost basis of approximately $3 million, was added to nonaccrual within the quarter. At the end of Q4, our nonaccrual credits had a total fair value of approximately $12.7 million, representing 0.8% of the total debt portfolio, a slight improvement from Q3. At quarter-end, 77% of our total principal outstanding was backed by first position liens on enterprise equipment or both. For our financings covered by all asset liens, the weighted average loan to value as of the end of Q4 was 23%, while 65% of these companies have a loan to value of less than 50%. These statistics demonstrate that our portfolio companies are generally not over-levered and are in a healthy position to service the debt even in instances when our loan may not be in first position. In Q4, our portfolio companies collectively raised $1.9 billion of equity. In the full year 2024, our portfolio companies collectively raised $4.7 billion, a 69% increase from 2023. These encouraging stats speak to our portfolio's quality and ability to secure funding in an ever-changing market. In closing, we want to emphasize that our credit quality and portfolio management are of the utmost importance to Trinity. One of Trinity's hallmarks is that our staff members think and operate like shareholders, and we always strive for resolutions that benefit both our investors and our partners. Before we conclude our call, we would like to open the line for questions. Operator?
Operator: We will take our first question from Casey Alexander from Compass Point. Please go ahead. Your line is open.
Casey Alexander: Actually, Mike, my question was answered, so I am fine. Thank you.
Kyle Brown: Thanks, Casey.
Operator: We will take our next question then from Matthew Hurwit with Jefferies. Your line is open.
Matthew Hurwit: Everyone, congrats on the results. I hope you are well. My first question is just on how you have maintained low nonaccruals. Can you share with us what practices or borrower characteristics are helping keep nonaccruals so low, and are there any early warning signs as we head into 2025 in terms of credit deterioration or anything you are watching? Thanks.
Ron Kundich: Sorry, Matthew. This is Ron, Chief Credit Officer, Ron Kundich. Good to talk to you today. Yeah. We have shared with TheStreet on a quarterly basis discussion around our underwriting rigor and more importantly, our five vertical strategy. Within each vertical, we do not just have underwriters, but we have underwriters that are experts within that vertical. We have portfolio managers that have experience within that vertical, and so forth. So as you might imagine, each vertical is different. Equipment lending is different than, you know, venture debt in the life science space, for example. So it is really important for us to have that expertise within each vertical, and we believe that that structure with the rigor that we bring at the front end of the pipeline has led to, you know, the results we have shown on credit quality.
Matthew Hurwit: Great. Thank you. And then on leverage, how are you approaching leverage in the current environment? Is your goal to maintain it around the current level, or do you see room to increase leverage for growth, or just how are your thoughts on leverage currently?
Kyle Brown: So we have messaged this in the past, and this is how we think about it. We really do want to continue over time to decrease leverage. Our ability to raise money off balance sheet and create new liquidity gives us the ability to downstream some of those assets into managed accounts and keep a really healthy level of leverage around kind of one to one. We will ramp it up sometimes, but it makes sense too because we have, you know, more deals to fund, more opportunities. But then the idea is to make sure that we, you know, downstream those assets into managed accounts and take that leverage back down. So over time, as we build out the RIA and build out earnings there, you know, we will see and have the ability to have less leverage at the BDC level, which will create, of course, more liquidity for us to be opportunistic along the way. So that is how we think about it. We, you know, intend over time to continue to decrease that as the RIA generates new earnings, and we can decrease it while also increasing earnings per share.
Matthew Hurwit: Great. Thanks very much, and congrats on the results.
Kyle Brown: Thank you, Matthew.
Operator: We will take our next question from Doug Harter with Credit Suisse. Please go ahead. Your line is open.
Doug Harter: Thanks. Somewhat piggybacking off the last question, how do you think about kind of the appetite to continue to raise capital off of the ATM, and, you know, kind of, how do you see the pace of deployment in the, you know, to in order to maintain leverage, you know, kind of at that one times target you just mentioned, Kyle?
Kyle Brown: Sure. We, you know, we think of the ATM as just-in-time financing. It is less expensive. It is really the most efficient way to raise equity. But, you know, when we think about raising equity or debt at the BDC level, you know, we are doing it in a way and we have historically done it in a way that is accretive to investors. And so what we have with the RIA is the ability and liquidity there now to where, you know, we will, as we build deployment, we will build those managed accounts and to the extent, you know, we need additional capital, you know, we will tap into the ATM as needed. But not in a way that will be dilutive to shareholders, and that is how we think about it. So Mike, you want to add anything to that?
Michael Testa: Yeah, Doug. I would say that, again, we are being thoughtful, trying to diversify our capital sources just like we are diversifying the asset side of our balance sheet. So we are looking, you know, we launched a debt ATM subsequent to quarter-end. You know, have more flexibility with raising just-in-time debt capital. We had a no-roll private placement issuance, debt issuance. So looking beyond institutional retail, beyond just the balance sheet, but also, you know, in through the RIA and private vehicles through the RIA. All different channels providing additional flexibility as we grow and scale, more opportunities will open up to us.
Doug Harter: Great. Appreciate it. Thank you.
Michael Testa: Thanks.
Operator: And once again, if you would like to ask a question, please press star one on your telephone keypad. We will take our next question from Paul Johnson with KBW. Please go ahead. Your line is open.
Paul Johnson: Yeah. Good afternoon. Thanks for taking my question. On the bond conversion next quarter, it sounds like you guys are settling that via cash, so there will not be any dilutive impact. But is there any way to quantify the retirement expense for that for next quarter?
Michael Testa: Yeah. In my prepared remarks, I noted an estimate of $0.27 per share on NAV impact as a result of that, the conversion rate in current where it is at $66 million of course to extinguish that debt.
Paul Johnson: Got it. Thanks for that. I missed that detail. Thanks for that. Switching over to the portfolio. I am just curious, you know, in terms of the FinTech exposure in the portfolio. How many of the companies would you say are dependent on bank partnerships for business?
Gerry Harder: Yeah. I do not know. This is Gerry. That is a great question. It is not uncommon for, you know, some of those business models to require such partnerships. So, you know, but in our underwriting, we are thinking that through, right, and making sure that there are multiple banks in those partnerships. Right? And so, you know, much like we would not underwrite a life sciences company with, you know, one shot on goal from a drug approval standpoint. Similarly, you know, we are deeply considering that in the underwriting if there are bank partnerships, there have to be multiple on board, you know, with additional in queue. So it is a great question and something we talk about as we underwrite, but we limit our exposure.
Kyle Brown: Yeah. Hey. This is Kyle. I will add something else. We are, you know, our ABL group that does warehouse loans is, you know, primarily focused on fintech. And we are really in many of those cases, when we are senior, we are the replacement for the bank. So we are providing that advance against receivables there. And then for more mature companies, we are partnering with a bank. So a lot of the fintech exposure that we have and a lot of it that we will have going forward is really more asset-backed lending where we are doing receivable type financing at a nice, you know, loan to value or loan to cost against those receivables. So we like that. We like that position with fintech companies.
Paul Johnson: Got it. Appreciate it. That is helpful. Details there. And then, you know, on just one investment, one of the nonaccruals this quarter, I just wanted to ask, you know, I know it is a small loan, looks like a, you know, small tranche of space perspective was placed on nonaccrual this quarter. But I just wondering, I mean, just because that is such a novel industry, I mean, again, understanding that the one small loan, I mean, is there anything to read into that in terms of trends within that industry, or is more of an idiosyncratic issue related to a space perspective?
Ron Kundich: Yeah. This is Ron Kundich, Chief Credit Officer. I think it is company-specific, Paul. I do not think there is anything industry-wide that we are concerned with. This is a company, as you alluded to, was a small, you know, venture debt term loan situation. The bulk, I should not say the bulk, a large part of our space portfolio is related to our equipment finance vertical. As you know, in the equipment finance vertical, we are lending against new equipment, specific equipment. We have an asset that is tangible that we can liquidate if we needed to in a distressed situation. So when you think about us and you think about space, keep that in mind. Again, space perspective, our loan to them did not fall into that category. It was, as you alluded to, a small loan venture term debt. The company is still attempting to raise some capital, so we are monitoring it closely.
Paul Johnson: Appreciate it. That is all for me. Thank you.
Ron Kundich: Thanks, Paul.
Operator: We will take our next question from Christopher Nolan with Ladenburg Thalmann. Please go ahead. Your line is open.
Christopher Nolan: Hey, guys. What are you targeting for the comp EPS contribution from these outside RIA entities in 2025?
Michael Testa: Hey, Chris. It is Mike. As we go through our AOA inner model for 2025, you would see immediately we have had expense allocations reimbursement for expenses get pushed down to the RIA. We have not given any forward-looking information on any dividends, but we do anticipate 2025, as well as expense allocation, you will see dividends coming back up from the RIA from those fees and income managed under the RIA.
Kyle Brown: Yeah. It is going to be a big part of our future. You know, I would say we have two accounts we are managing. We are working on others. You know, regulators do not move as fast as we do. And so we are kind of poised and ready to execute and, you know, we are looking at this year as more of execution of the RIA and then really start building.
Christopher Nolan: Gotcha. Second question. The Trump administration is making Make America Healthy Again a focus. How does everything happening in that space affect your life science exposure?
Kyle Brown: We think about that. We obviously think about that. You know, and we do not see any immediate impact. We do not do a ton of bio or pharma. It is just not what we focus on primarily. So we are focused on primarily med device companies that scale post-FDA approved products. I mean, that is primarily where we focus. And so far, we just do not see a lot of exposure there.
Christopher Nolan: Great. Final question. On the debt ATM, would this be for unsecured notes?
Michael Testa: That is right, Chris. We have two debt issuances from Trinity at TRINI and TRINZ that are eligible for that ATM program.
Christopher Nolan: Okay. And so the general idea would be to utilize the facility less, but the ATM is sort of an alternative to the facility. Right?
Kyle Brown: Yeah. I mean, we are going to look at all options, you know, based on what makes financial sense. And, you know, the ATM program for the debt is the same as the equity. It is efficient. You can raise it over time. It is at the prevailing price of the debt at the time, so prevailing all-in yield. We will measure that against, you know, all other market activities or secured debt that we have.
Christopher Nolan: Okay. That is it for me. Thanks, guys. Good quarter.
Kyle Brown: Thanks, Chris.
Operator: And there are no further questions on the line at this time. I will now turn the call back to the CEO, Kyle Brown, for any closing remarks.
Kyle Brown: Well, we would like to thank everybody for participating in our call today. Appreciate your interest and investment in Trinity Capital. We look forward to updating you on Q1 results during our next earnings call on May 7th. Have a great rest of your day. Thanks.
Operator: This does conclude today's program. Thank you for your participation, and you may now disconnect.